Operator: Ladies and gentlemen, welcome to TotalEnergies' First Quarter 2025 Results Conference Call. I'll now hand over to Patrick Pouyanné, Chairman and CEO; and Jean-Pierre Sbraire, CFO, who will lead you through this call. Sir, please go ahead.
Patrick Pouyanné: Good afternoon, everybody, or good morning for connecting from the US. Before Jean-Pierre will go through the details of the first quarter results, I would like just to make some few opening remarks on what appears to be today a more challenging global environment and the way that TotalEnergies intends to leverage our consistent strategy to deliver resilient results benefiting from our energy production growth and attractive shareholder returns. We have indeed entered into a period of heightened macroeconomics and geopolitical uncertainty. We and this list is not exhaustive, current fragile negotiations on the Ukrainian Russian conflicts, the new but fluid tariff policy enacted by the U.S. decision of OPEC+ to unwind its voluntary production cuts. Even if the impacts are not yet fully appreciated in might evolve in the coming months, these moving context is creating uncertainties, notably on oil demand, along with volatility in the oil markets oriented on the downside over past few weeks. And also on costs for new projects in the US because of tariff impacts. And this quite, I would say, fluid and landscape, TotalEnergies, us and well, I would say, continue unique strengths that we have consistently built over the last 10 years and our results are paying off. First of course and foremost, we have been strong and never gave up on Oil & Gas. We have built over the last 10 years, one of the best low cost emissions Oil & Gas portfolio, with more than 12 years of reserve life, which today gives us substantial leverage through strong and accretive growth that clearly differentiates us versus our peers. Delivering this growth is, of course, one way to protect our future cash flows. We are growing companies with two pillars, including the second pillar on electricity, which is not dependent on the oil price, which gives an additional resilience to our model. As you will see, with Jean-Pierre this quarter, we delivered robust year-on-year production growth on nearly 4% in Oil & Gas and 18% Electricity, which represents a unique TotalEnergies production growth of close to 5%. But we are also, at the same time, in control of our costs. Our CapEx first, because most of our have been engaged and are based on lump sum EPC contracts but secure the level of the CapEx. But also on the OpEx side, we have maintained in the last year despite the inflationary trends or cost per barrel or OpEx per barrel is lower than $5 per barrel and again, this quarter. And finally, we are benefiting and our balance sheet remains strong. We are confident in our ability to achieve our growth objective for 2025 and keep sugaring under control. Because we have confidence in our business model, the Board has decided to maintain attractive shareholder returns despite the uncertain environment. The Board's first and foremost confirmed the first interim dividend, which was announced in February at €85 per share, which is a 7.6% increase compared to 2024. In other terms, I would say it's even more than that. It's more than 10% at the current exchange rate of 1.14. As you know, dividend is a first priority in our capital allocation framework and we will continue to maintain and to grow the dividend in future years even in these uncertain environments, remember that we did not catch the dividend during COVID period. After 12 quarters in a row of €2 billion more of share buyback, the Board has once again announced share buybacks of up to €2 billion for the second quarter. Despite a softening price environment, we went below $70 per barrel since the beginning of April and in an uncertain geopolitical and macroeconomic context. Just as we have done during over volatile times, the Board will continue to monitor the buyback on a quarterly basis. Within the guidance we gave to the market last September to maintain a $2 billion buyback in reasonable market conditions. And to conclude this introductory in my remarks, as you will see again today with our Q1 results, I think we are well-equipped and well-prepared to navigate in certain environments. We remain focused on delivering on our 2025 objectives and to maintain attractive shareholder returns. On that note, I will now turn over to Jean-Pierre, who will go through the details of the first quarter results.
Jean-Pierre Sbraire: Yes, Thank you, Patrick. So, my first comment will be on the price environment in the first quarter that was globally similar to the environment we had in the fourth quarter of 2024. So, Brent was at $76 per barrel versus $75 per barrel in the first quarter. TTS, the European gas price was $14.4 per MMBtu, up 6% compared to Q4. And the average LNG price was $10 per MMBtu, down 4% compared to Q4. And the year-end, so our indicator for European refining margin remained weak, averaging $29 per tonne over the quarter. So, in this context, the company reported adjusted net income of $4.2 billion and FFO of $7 billion for the first quarter, 2025. Profitability remained robust, with return on capital employed for the 12 months ending in March at 13.2%. Furthermore, TotalEnergies continued its strong track record of attractive shareholder distribution with $2 billion of buybacks executing during the first quarter and as Patrick mentioned, a 7.6% year-on-year increase in the first interim dividend of €25 to €0.85 per share, which is up 20% versus pre-COVID level. Now, moving to the business segment results and starting with hydrocarbons. 2025 is off to a strong start. First quarter production was above the high end of the guidance range at 2.56 million barrel per equivalent per day, representing nearly 4% growth year-on-year. Production benefited from continued ramp-up of projects in Brazil, in the United States, in Malaysia, in Argentina, in Denmark. In addition, we continue to be successful at keeping operating costs at low level. It was $4.9 per barrel equivalent during the first quarter. Looking forward, second quarter production is expected to grow 2% to 3% year-on-year, reflecting more planned maintenance compared to the first quarter, which had an impact of around 50,000 barrel per day. Given the strong 4% growth achieved in the first quarter, we reiterate full year 2025 production growth guidance of more than 3% compared to 2024. Moving now to Exploration & Production. So the company continues to execute very well, E&P reported strong and growing results with adjusted net operating income of $2.5 billion and a cash flow of $4.3 billion in the first quarter, up 6% and 9% quarter-to-quarter, respectively. Cash flow benefited from accretive new low cost and low emission point production. We generated roughly an additional $100 million of cash flow, reported a profitable average would have delivered during the first quarter. We anticipate additional accretion throughout the year with the Ballymore offshore field in the US, having achieved first oil earlier this month and Mero-4 in Brazil expected to be online in the third quarter, both of which are adding high-margin barrels that will enhance the cash flow. Moving on to integrated LNG. LNG sales were stable at 10.6 million tonnes and integrated LNG achieved adjusted net operating income of $1.3 billion, up 6% year-on-year, and down 10% quarter-to-quarter, in line with the evolution of the average LNG price, already commented. Compared to last quarter, cash flow of $1.2 billion was impacted by the timing effect of dividend payments from some equity affiliates. LNG trading continues to perform in line with expectations for 2025. Gas trading results were impacted by the unexpected downturn of European markets, following new elevated uncertainty on the evolution of the Russia-Ukrainian conflict. Forward European markets expect gas prices to remain elevated in the second quarter 2025 in the context of inventory management in Europe. Given the evolution of oil and gas prices in the rest of the months and the lag effect on price formulas, TotalEnergies anticipates its average LNG selling price will be between $9 and $9.5 per MBtu in the second quarter 2025. For Integrated Power, first quarter adjusted net operating income was $500 million and cash flow was $600 million. As anticipated, this quarter results do not include any positive impact of farm-down, which are expected later in the year. Thus, it's a matter of timing. And it's is driving a 1% temporary decrease in OHA to 9% this quarter, which is expected to reverse as farm-down with progress. Looking forward, the company is on track to achieve the annual cash flow guidance. Additionally, we are progressing on multiple fronts in the Integrated Power segment, TotalEnergies signed a premium threesome power contract with SLB electronics of 1.5 terawatt hour over 15 years during the first quarter. In addition, the company further deployed its differentiated Integrated Power model in Germany. With the launch of six new battery storage projects developed by Kyon, the company that we acquired last year during the first quarter and the closing of the acquisition of the renewables developer, VSB, closed earlier this month. Turning now to downstream. In the context of weak refined margins together with declining petrochemicals and biofuel margin in Europe, downstream posted adjusted net operating income of $0.5 billion and a cash flow of $1.1 billion in in the first quarter, 2025. Cash flow the quarter was impacted by several factors. First one being the usual seasonability in the market and services businesses and the timing impact of dividend payment from equity affiliates in refining and chemicals. But beyond that, the macro environment remains challenged with refining, petrochemicals and value fuel margin lower than our planning case, impacting cash flow by about $150 million. On operations, we encountered some issues at Donges refinery and productive refinery that negatively impacted cash flow by about $200 million. These issues at productive have been resolved and work continues at Donges refineries. However, there are no systemic operational issues, our performance was strong at other sites such as [indiscernible], boosting the global refining utilization rate to 87% in the first quarter of 2025 from the 82% in the first quarter. Let's move now to the company level. At the company level, net investment totaled $4.9 billion during the first quarter, and we reiterate full year 2025 guidance in the range, $17 billion to $17.5 billion. We reported a seasonal working cap build of $4.4 billion in this quarter. Thus, I have to remind you that it's less than the $6 billion reported in the first quarter of 2024 and in line, in fact, with $3.4 billion to $4.4 billion range reported in the first quarter 2022-2023. The drivers of this quarter working capitals are mainly: first, a 1 million reversal of exceptional working cap items reported in the fourth quarter 2024. Secondly, a $2 billion seasonal effect from gas and power distribution activities in Europe and related to advanced payments occurring in the first quarter of 2025. And third, a $1 billion impact from evolution of the business positive to stocks and sales increased at the end of the quarter. Lastly, the balance sheet remained strong, dealing is at 14.3%. But as indicated earlier, the $4.4 billion working capital this quarter is highly seasonal. Excluding this impact of seasonality, the normalized gearing would be 11%. Now, Patrick and myself are available to answer your questions. So please open up the line.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] The first question is from Doug Leggate of Wolfe Research.
Doug Leggate: Good morning. Very early morning from Houston, Patrick and JP. Thanks for taking my question. I think the reaction to the debt move this quarter, JP, is obviously weighing on your stock. And I think this probably -- thank you for the explanation and the moving parts. But I think it begs the question, how do you think about sustaining the 40% payout share buyback? If that means that you end up leaning on the balance sheet to fund the capital program, what is trade-off how resilient or how much would you be prepared to continue to do that? Is there a limit where the buyback would become? Or the payout become under question? And I have a follow-up, please.
Patrick Pouyanné : The 40% cash flow for buyback is not -- 40% of cash flow is not at all into question. It's a clear strong guidance. So we'll be above 40% by the end of the year. I am committed to that. What we said about the buyback, I remind you the guidance we gave you in September is that -- and I repeated in my speech, is guidance is to maintain a $2 billion buyback per quarter in reasonable market conditions. The Board obviously considered that these conditions that we experienced during the first quarter and even since the beginning of April, where I remind you power was between $65, $70, I think going down is still giving a set of reasonable market conditions. Of course, we'll be appreciated. It's a global -- it's not one specific price limit. It's more global, I would say, approach to the macroeconomics. So we observed like you. In fact, the world, as I said, is very uncertain because this tariff seems to be a hit, but it's quite fluid. And we could expect maybe the U.S. to come back to more reasonable approach and all that. It's not impossible. We have to adapt ourselves. That's one of the difficulties. And so in fact, the reaction of the Board, like we've done during COVID, is first pandemic, the fundamentals of the company are strong. We delivered a strong cash flow. So why should we overreact today? No, let's look because we could see some cities change on one side, the other side, it's true that the oil markets and, in fact, I'm more looking to -- on our side to what the OpEx plus will do. In fact, it's more important for us really in this type of environment. So that's why 40% for sure of cash flow and distribution keep it as a strong guidance. But I remind you, last year, we were even at 50% or 40%. And by the way, I think if we -- the first two quarters with $4 billion of buybacks, plus a strong commitment to the dividends, as you said, and I repeated what said permanently, the first dividend is the first capital allocation. It means that we are on the basis of $12 billion at least and more between $12 billion and $16 billion. I would say, obviously, you make the math, you will find your 40%. So no point about it. You can be sure of it. And again, the second important part of that. That's why -- what we monitor at the Board level is what this concept of normalized gearing that we shared with you, is not because I was sure about the reaction of the market in this context. And we monitor it. And in fact, as we told you at the beginning in February at $70 per barrel, we are targeting gearing by 12%, 13% at the end of the year. Today, without excluding the seasonal effects, we would be 11%. So honestly, there is nothing maybe the price is at $65 the whole year and that $70, it will be something around 14% instead of 12%, 13%. But again, guidance, which works well at the Board level, I think we are confident in the fundamentals low-growth is coming. The growth is delivered, which is, of course, fundamental it's not just growth, controlling our costs. We have a strong experience and strike record on that. And so we think it's the best signal we should send to our investors is -- as I said, like for the strategy, no consistency. I think the word want you to have in mind is the TotalEnergies is a consistent company and even more when the environment is unstable, rather than just making short-term reactions. It's not at all the way we monitor the company for the last 10 years, and the Board is aligned on this attitude.
Doug Leggate: Patrick. My follow-up is related to that. You have built in capital flexibility to the plan, particularly around integrated power. You've talked about a $2 billion flex. What would it take for you in the macro environment to consider a spending reduction on your net capital guidance? I'll leave it there.
Patrick Pouyanné: No, I think honestly, I think I'm clear as well, we have a plan. We could have some flexibility, no way today to activate that. Again, we are at $65 per barrel. I'm confident in the way to move forward for this arrangement. So it's not the point might be on what would be led us is more of the impact of the tariff on supply chain of -- for example, renewable projects in the US and batteries project in the US, if you apply some tariffs, 20% or 25% of importing Indian panels in the US, obviously, we could save some either, just to be clear. I said that, because we just took decision recently on there was a 600-megawatt project, which was approved by the XCOM by end of March. After the tariff impact, we asked our teams to look again and do it. And we say, okay, let's pull it. We'll not invest. We will postpone it, maybe because of tariffs because obviously, we are not exactly -- without tariffs, this project was more at around 12%, with tariff it's less than 10%. So we pause, we are not in hurry. It's not volume, not of value. We have to take care of that the type of fix, which could happen. But again, it's more -- on the cost side, the impact on the CapEx side because of the tariff and we need to monitor that precisely and not to be driven by volume of the value. So -- but again, I'm comfortable to maintain the guidance on CapEx. The question of flexibility is more if you go down like during COVID when we go down to lower than $50, then we will have to act. And as you follow us for no, you know that during COVID, we save -- were able to save $3 billion. So we are not there. We have some flexibility. And again, I know Nicolas Terraz on the Upstream part, as beginning to ask his teams okay? To be clear, maybe $500 million would be activated. So it's beginning to take actions at this level. But at the company level, I'm fine and to monitor that with our balance sheet.
Operator: The next question is from Michele della Vigna of Goldman Sachs.
Michele della Vigna: Thank you very much. I had two questions, if I may. First, I wanted to come back to your point, Patrick, on tariff, it's pretty clear that they would materially impact the renewable business in the U.S. But I was wondering whether it could also affect some of the Oil & Gas projects and also if there could be any issue with the LNG vessels globally, given that some of them are Chinese build. And then the second question, you may not have an answer, but I was wondering if you had a view on what happened to the Iberian power systems these days. And if there was anything in terms of structural change to the power systems with renewables that you think need to be addressed? Thank you.
Patrick Pouyanné: Okay. On the tariff we have to be clear. As I said, I think this could have an impact on the new projects, which have to be sanctioned. And we have on our -- in most of our projects that we have already the real branded 1 to 3 are secured. I'm not -- I don't expect any impact on the tariff because all that was secured in a strong contract, EPC, which is going well, by the way, is in advanced progress, is in advance is already at 39% compared to 31%. We had a good news, by the way, during the quarter -- as you know, the legal issue and the permitting has been pushed away. So, it's growing. We were on Tranche 4 and probably 5. This is a topic in which we're expecting to see if there is an impact on the tariff because our tariff on steel for new projects that might have, again, the difficulty might be more to be sure in which area we are speaking about, is it finally at the end of the day, 10% across the board, okay, that probably could be absorbed because, in fact, in the U.S. projects, remember the Trump policy was not only increasing tariff, there was a sort of counter measure, which was to lower the tax, the income tax, in fact, the tax. So, we don't have this part. But is also something we have to keep in mind. It's not only a matter of cost, it's a matter of profits at the end. So, if the counter measures and the reconciliation bill, which will come before the end of the year is for me is very important. So, for me, it's more at this stage a question to monitor a six-month uncertainty. And I think we'll have much more clarity on the U.S. investment case by the end of the of the year because we'll have probably all these negotiations and the tariff will have landed, so one way or the other. And on the other side, we will have the bear, which is lowering tax -- the corporate tax, which, of course, is important in the U.S. system. So, for me, at the point. So, the way we monitor that. But I don't see -- and the rest of the project for us this thing outside of the U.S., we didn't see any impact on the tariffs, be clear, it's not an issue. Your second question on LNG is interesting because that's true, but I think U.S. understand that if they want to export LNG without Chinese vessels, I'm afraid the export will be limited. And I think it has been raised. I understand it, by the way, but there are a lot of discussions and negotiations about this ID.2 to have a special tax on all vessels, which are not built in the U.S., but they begin to see some, I would say, amendments, a leeway. I read the paper yesterday that we are going in the right direction. Energy ph, yes, it has been raised to be U.S. authorities, but it could be a real issue, so for everybody including for customers, including for that. So, we know that it's -- how long will it last again, let's look at it. So, again, that's why, again, at the Board, we took a position, which is okay no overreaction, no panic, let's look. We will have more clarity I hope and getting out of the small and mid-issues, there is a lot of noise, but I think at the end of the day, business will prevail, business interest will prevail for everybody. Iberian policy system. No, I'm no -- I don't know. I know [indiscernible] through. The lessons, I think, at the end -- and I will tell you, Michele, what happened. In fact, we observed what happened in Germany, in February when we had one week without wind. That struck me because I can tell you, there was no problem in Germany, but one week without wind, if you don't have a full backup system with your gas pipe power plant, but yes, it was more fire-coal plant, then you have an issue. And I think the lesson for me of all that is that it's good time when we think about integrated power and globally to speak about the grid, which needs to be adapted. We observed that when the grids have more than 30% of renewable has become more stable also. So we need to investment in the grid [indiscernible] investment in Flexible assets. I think the two less side role from the February event, and I'm suspecting again, I have no specific idea, but Iberia might be the same type of in fact tax. We cannot think that full renewable system will work in electricity. This is a less than a year ago, which in fact, honestly, reconfirm our old strategy, which is to maintain this gas to power together with renewables. We gave a guidance, 70/30 between both, maybe we should adapt it in the future having more flexible assets to monitor this type of intermittency and impacts on the system.
Michele della Vigna: Thank you.
Operator: The next question is from Lydia Rainforth of Barclays.
Lydia Rainforth: Thank you and good afternoon to everybody. Patrick, if I just come back to the idea around the sustainability, affordability of the buy-back. Part of reason that there is a shortfall is that the pace of growth that TotalEnergies is delivering. And I'm just wondering, could you give us an idea of the difference in CapEx that you would need just to keep the business flat versus delivering the growth you are. So really, what's the growth CapEx? And the reason I ask that that is clearly, others and the fact us living slightly higher free cash flow, but actually growing less than TotalEnergies is? And then the second one, just link against to the balance sheet. It's clearly strong at the moment, but that weaker market always creates opportunities. So, how should we think about how else you would look to deploy the balance sheet potentially for acquisitions? Or put another way, are there any holes in the portfolio that you would like to fill? Thank you.
Patrick Pouyanné: Great question, Lydia. Thank you. The first one, let me clear. We are given point value. So we have some good protein delivering accretive value. So the growth is coming from accretive project. So this one must be preserved that's a medium and long-term industry, we need to develop it. Then, of course, again, if I have to cut CapEx, again, I remind you, I'm able to cut CapEx. But not on the fundamentals of growth in Oil & Gas, where we will deliver accretive cash flows for our shareholders, but I will not -- but I have to ways to arbitrate. If I need to invest less in EV charging, don't worry, I will do it. I will give you a list of things on which we can be [indiscernible]. So we are spending some money. This will be reviewed. By the way, we are making our business plan exercise in June, July, and I will look at it with preparing the future of 2026 and our futures investors meetings by beginning of October. We look at it, obviously, with a scenario, what happens is and looking to flexibility and define it to arbitrate. But I will note arbitrate what is a fundamental future cash flow growth for shareholders. This is clear. It's already -- we have -- these projects have been sanctions. They are being -- they will be delivered. And in fact, the priority must be to maintain the budget and their timing rather than beginning to arbitrate. But we have enough when you speak about $17 billion budget to find $2 billion is not so complex in a company like that. If we have to do it, we will do it. As we have done it in the past, and I think we have a track record over the last 10 years we demonstrated you that we are able to do it. But I want to do it in a smart way and not again at the expense of the future cash flow growth. The balance sheet. You know my position, my position in fact, it's always good to be countercyclical. So the question is, can we create retail value when we buy at a low price, and then the question for us is about arbitration. Of course, buybacks today, price is low, it’s cheap. And it's good to be -- to buy your shares, they are cheap, even cheaper. And it's cost -- in terms of cost, it's -- the debt is lower than the cost of capital. So it's a good investment. But then we will have to compare that against, can we do a beautiful acquisition with chip, which will be accretive for everything. But the way to think about it the way to use, in fact, the balance sheet, this is the trade-off that which the Board will have to answer. Today, we are not there. Today, I'm sorry, I don't see $50, I don't see cheap acquisitions. And more -- we are divesting some few things and continue to sell them at $70 per barrel. So we'll see. But this is the type of things, which I think we need to think again to the medium and long-term and do we create more value, more cash flows for our shareholders. That's a fundamental way to speak about the balance sheet and the way to use the flexibility, which we have. At this stage, the buyback is okay. Clearly, that's why we maintain this $2 billion for the quarter.
Lydia Rainforth: Brilliant. Thank you.
Operator: The next question is from Biraj Borkhataria of RBC.
Biraj Borkhataria: Hi. Thank you for taking my question and thank you for the comments. The first one is just a quick clarification on the way you and the Board look at the normalized gearing versus the number that we see. Is it just the seasonal factors that are in there in the adjustments? I think as Jean-Pierre talked about $3 billion of roughly seasonal factors, and I can't quite reconcile that with the 11% normalized gearing. And then the second question is just on the latest situation in Mozambique. Obviously, we're a few months on from the election, important project or you just wanted to update there. Thank you.
Patrick Pouyanné : Good luck. Let's Jean-Pierre, -- but to be clear, the calculation, yes, we took up $3.4 billion. We said you that $4.4 billion working capital build there was $1 billion of reverse of exceptional element as we mentioned at the end of the year. So when you make the $3.4 million and a minus $3.4 million, you find 11%, Jean-Pierre could give you and the team can provide you the details, but it's very simple. It's straightforward. In fact, -- that's what has been done because fundamentally, what we observed. And again, we, as a team, can provide you the slide and you can align the -- you can do it yourself because it's public the build and the related working capital for a year. In fact, we know that when we build at the beginning will come back along the year, except some exceptional elements. We mentioned to you end of -- remember in February that there was end of '24 $1.5 billion of exceptional, $1 has been reversed still $500 million which should come one day. So this one, we cannot -- it's not seasonal. It's something which we lose. But again, so we are confident because we have observed the company and the way it's able to erase the seasonal effect along the year. So that's what I think, and you know there is more of this by the end of the last quarter. We have a build in the first quarter a strong release in the fourth quarter in between things are moving down and that. Then Mozambique update, Mozambique, I mean, we had a good news. So all the financing is back on track, thanks to US decision. So now the shareholders have decided fundamentally to move forward with the projects. We are all working on it. We are still expecting one or two answers, but in fact, we could finance with our equity with -- and in fact, it's more a question of paperwork. On the ground, the security of the industrial area where we are building our projects is a huge area is completely secure. It's safe. So what we are working with contractors today is to be sure that all contractors will remain within the perimeter of this secured area. This is a point on which we work with them. And if there is -- on the other side, as you noticed, we have worked in order to answer to some controversies about your mine right. So I don't know if it happens or not. These events, we have no proof at all, but we have worked with work myself, I went to visit the President to tell him, you need to take your General Prosecutor. We want really an enquiry. We took the initiative to consult the National Commission of Human Rights in order for them to make to be sure that this inquiry will be done properly, and they will -- they are committed to make a report. So I think we have taken some actions in line on our side, which is our societal responsibility, I would say. And I think we have done it. So I would say, if I'm -- the target is to be able somewhere to relaunch this project by middle of the year.
Biraj Borkhataria: Thank you.
Operator: The next question is from Irene Himona of Bernstein.
Irene Himona: Thank you very much. Good afternoon. Going back to your adjusted gearing, it is obviously low at 11%. So there's no issue with a 2 billion quarterly buyback. But I was wondering if there is a level -- we cannot know if $65 brand is a floor. Is there a level for that normalized gearing where the Board would feel the need to revisit the 2 billion quarterly buyback? And my second question on Namibia. Is there an update on the time line of maturing that project and progressing towards FID? Thank you.
Jean-Pierre Sbraire: Okay. I think -- thank you, Irene, for those two questions. I think I've answered somewhere by previously to do. I think again, we gave you a guidance at the beginning of the year, but the Board was ready at $70, to go to 12%, 13%. I just told you a $65, we will be something around 14%. So if I'm saying that, that we have -- that means we are comfortable with that somewhere. It's not an issue, but it's not a precise figure, but this is range where we are comfortable to use the balance sheet. And secondly, honestly, I will not play that game, but I think in New York, I told you at 50 obviously, we will revisit it probably 55 as well, just to be clear. But we are not there. So let's limit that one step by step. And again, I think we have are further consistency rather than being erratic on that. Namibia, Namibia, I was in Namibia last week, I visited Namibia for first time – we are working on this one. To be clear, we have a project, which we have given some information, by the way, in February. I think it's a matter now to find a common ground between us and the authorities. It’s a project which face, as you know, intact fundamentally some challenges. It's feasible. We have quite a lot of oil, and we have something like 750 million barrel of oil. So it's quite a big pool of oil. But if you look from their ability, so it means that, in fact, when you reinject the gas, it's a longer plateau. So we need to have a long license to produce a $750 million barrel of oil. We did as well because it's – there are some challenges. It's a 3,000 meter water depth, which means CapEx with Alliance pipeline for lines are more expensive. All that makes $20 per barrel, let me say. So in terms -- of course, I express to the government that we have some thresholds in terms of, I would say, the higher our targets and that I need to protect my -- the project in case the price of oil will go down. So we have opened the discussion. It's premature. But I'm -- again, it's like -- I see a very similar situation. That's the one we had in Surinam one year ago, where at the end of the day, we find a way to find a common ground between the government and ourselves in order to be able to move forward the project. So it was, of course, the first visit. I don't expect any answer. But I've noticed that there is a well in Namibia to open this Oil & Gas industry. We could be the first mover which means sometimes also some additional cost because of logistics. So the authorities have also to take that into consideration. Again, we have a very large pipeline of projects. And as I did last year in Surinam and at the end, I'm not driven by the volume, the volume and we have already quite a good growth. So I think Namibia will be, of course, it's a common into us, but it will be down if we find. Again, if we are fitting with our return targets for us. And if I spend my time to visit Namibia because think there is possibility to find a common space, but it has to be -- we need to be two, to have two persons to play a tango.
Irene Himona: Thank you.
Operator: The next question is from Giacomo Romeo of Jefferies.
Giacomo Romeo: Thank you. Two questions for me. I think your message on buybacks in the current macro environment is very clear. Just wanted to go back to what you showed in your slide in the CMD, where you were showing the community CFFO below $50. In there, you give us a flex level of capital investments. And you would expect those levels to generate free cash flow above the dividend. So is there a minimum level of buyback in that macro environment that you think you'll be able to sustain? The second question I have for Patrick is on Argentina. We have some -- we have seen some of your European peers taking early position in LNG projects in Argentina. There have been some headlines suggesting you're looking to scale than of your presence in the country. Just to just trying to get a bit of what your thinking around the investment prospects in the country and whether you think there is some attractiveness around the potential for Argentina to become an LNG exporter?
Patrick Pouyanné: Yes. So first, you refer to a slide, which was slide number 53, according my colleagues, which gave me the slide which you have the answer, I think, on this slide because if I remember, if I reading the slide, we told you that at $50 per barrel, within a disciplined capital investments, which was down by $2 billion compared to the global guidance. We were able to deliver the dividend, of course, to grow the dividend, and there was some cash flow remaining for buybacks. So I think you have the answer to your question. So a $50, I don't think the buyback are going down to 0. It's not the case. It's not the idea. So you can make your math up and that. But this will give you more information. So for me, the answer was clear. We have, in fact, a post-dividend breakeven, which is lower than $50 by the end on this period. So that's the way to monitor. And by the today, the fact is going down. I suspect we have done already $4 billion end of the half of the year. So the Board is confident if we maintain the $2 billion. I remind you as well that, there is a strong guidance, which has been a little forgotten, and maybe we could have repeated it today, which is more than 40% of cash flow from operations. This is another guidance on which we told you repeatedly, it will be through cycles. So more than 40% of cash flow from operations full cycles, is supportive of the distribution to shareholders. We are committed to that. And this is not -- and so I know that you had a trend to forget it because we were up to 50%, but we didn't change the guidance, more than 40% through cycles. And in fact, we don't change full cycle because it's exactly what we want to cover in case the price is going -- oil price is going down. So keep that in mind and you can make your mark with it. Argentina, yes, there have been active. We have a lot of projects in the world in LNG. I think we -- it's a question of allocation of capital in LNG, and we consider we have better projects in our project we have enough first, we have a lot in Qatar, U.S. in Mozambique in Papua. We enough and we didn't feel -- we, I would say, I know that today President Milei is making a lot of reforms. But in the -- along the last 25 years, Argentina track record for investors, I think we managed to get some dividends to -- or 2 years out of 25. So to invest in heavy infrastructure in a country which has quite an unstable, I would say, exchange foreign exchange policy is not really for me my priority. And again, by the way, we have overweight to monetize our gas -- Argentinian gas on which we work. We recently signed some interesting contracts to monetize our gas to Brazil. So this is so I respect that this year and others to be clear. But on all sides, we didn't put -- I based Argentina last September, and I explained experience to the President of Argentina, but others can be free, but for total energy was not a priority. So again, it's a question of portfolio.
Operator: The next is from Matthew Lofting of JPMorgan.
Matthew Lofting: Thanks for taking the question. Two, if I could, please. First, I just wanted to follow-up on the earlier comments on buybacks, payout ratios and gearing. If I understood correctly, Patrick, what you said earlier, the Board, it sounds like views, April conditions as well as Q1 is within the bounds of reasonable and 50% to 55%, it for a sustained period is perhaps where you review as you were referencing earlier that the mid-cycle payout greater than 40%, when the Board thinks about 2026 and beyond. How mechanically and swiftly should investors expect TotalEnergies to revert to 40% plus as an underlying payout? And then secondly, I just wanted to ask you about working capital. The quarter-on-quarter fluctuations appear to have been quite substantial over the last 6, 12 months versus history, perhaps. So I wondered if you could touch on some of the reasons behind that and the extent to which you expect that to continue, perhaps related to evolutions in the portfolio set up.
Patrick Pouyanné: So I mean, Matthew, I'm sorry, I'm sorry to correct you. I never said that it was -- just took two examples 55% to 55%, I have never said there is a limit somewhere. It's true that this year, quarter, we are still at 65%, 70%, we are comfortable to move forward, which is not a surprise. It was a comment I gave you in New York in last September. And again, the 40% is not a mid-cycle. It's something which is sort of floor. We said you full cycles, whatever will deliver a payout of more over 40%. So to remind you that. So it gave you the guidance, which means that it was, again, it's a fundamental one. I think it's -- it hasn't been either that we'll take 40% as the strict what we want to deliver, it's at least 40%. Last year, we delivered 50% and the year before well. So it's at least 40%. So and in fact, the reality is when considering the dividend of TotalEnergies, which is represent $8 billion. You are -- I can tell you quickly about 30% because of dividend never been cut. We continue to maintain, so even in the low price environment, if we generate the cash flow of only $20 billion, when you have $8 billion of dividends, you have already the 40%. So -- and so I mean just -- so don't try to guess more than what we said. I think we again, we are monitoring that, as I said, as well, in the best interest of the shareholders as well. Obviously, when the share price is low, is good to take -- to use the balance sheet to buy some cheap shares, and that's the case of buyback is a good one. So there is no -- when you ask me a question, mechanically, there is no mechanics, not mechanically. It's -- we appraise the situation, macro environment geopolitics. It's not a Board. It's not just looking to one figure. There is no magic formula in -- it's more a question of global environment. And again, yes, it's true that we have uncertainty today. But as I said, it's quite fluid. And it could be reversed. I think maybe after summer time, we could have some come down after the contest, haven't known. So -- and we are well positioned to weather the storm. So let's continue. Working capital. No, I think you have two explanations very easily. You have some, I would say, structural parts. Part of it is fiscal. We have some fiscal reversal. We have some depths which grow forging capital is control in capital, which come back very cool first quarter, Norway other countries. The part, which is also seasonal, is a marketing -- gas and power marketing, people just people are heating their homes much more in winter times. And in fact, they pay their bill monthly on equal installments along the year. So you have a difference of revenues between the fact that we have some big consumption during the year and equal installments and fluctuate around 1 billion, at least this phenomena so it's really seasonal, but we know that at the end of the year, people will have think of it. So this is type of fix. That's why we have some rewrite fiscal and this example. And I think have one or two, which we could qualify from seasonal. And that's the point on which we -- that's why we are comfortable. It will continue, yes. We have observed it for several years. again, we are monitoring that internally this time because I was sure when I saw the jump from 8 to 14, that you will have some questions, we prefer to share that with you in order be able to give you some better -- the way we ourselves. The way we think internally with the Board, which we put on the table, I propose to be shared with you.
Matthew Lofting: Super. Thanks Patrick.
Operator: The next question is from Henri Patricot of UBS.
Henri Patricot: Yes. Thank you for opportunity. Two questions from me, please. The first one, on the integrated power business, you mentioned that Roche is a bit lower this quarter because of the lack of farm down. So I'm just wondering whether that's something that's very much temporary? Or if you see actually some more challenges in agreeing on these farm downs, given the increased uncertainty around renewables, in particular in the US? And then secondly, on the integrated LNG business and the guidance on FFO, you targeted earlier this year, $6 billion of cash flows. Looking at Q1 performance I realize it would be more like a stable cash flow at $5 billion. So do you still see as that $6 billion target is achievable in 2025 in the current environment? Thank you.
Jean-Pierre Sbraire: Okay. First one. It's really a question of timing of the farm down. You will see our anticipation already on Q2 is that we should have almost two quarters in one, in fact. So -- in fact, the farm downs revenues represent more or less $17 million per equipment. On an annual basis, it's a certain amount of around $300 million, $280 million, $300 million of OpEx, which has to be taken in -- which are our plans. So it's 75% per quarter, 70%, 75%. In fact, this time, there was no farm down, but we -- I know already that we just have to close one in Portugal, which will generate what should have been done in the first quarter. So it's really a question of timing. We don't see much difficulty. We continue to do it. We continue to do the farm downs, including in the US, by the way. So we have a program to execute. We have put in place a dedicated deep specialized team working with many players, which is head by the smart person, so he has to deliver. It's part of the business model. And so at this point, I can tell you we are don't see you why the team would not deliver. There is no hint. Of course, it's not linear per quarter. We have quarterly results, but -- and that's more -- it has to up. So on the second quarter, you would have a result of farm down which will be, I would say, higher than what it was planned, okay? So no challenge on this one. I mean, obviously, the main change is that -- interest rates are higher. But again, you have still quite a good, I would say, appetite from these type of assets from these platforms, et cetera, et cetera. LNG. So the guidance, yes, when I look to the slide in February, if you look at fully was target 6, but it was a shadow part. So it's between 5.5 and 6 is true. We are -- on this one today, I would say if you multiply by 4, we are more around 5.5, 5.6. But my teams have -- honestly, on this one, I want to make a comment on it, in fact, and I think like others, what happened in Q1 2025, the fundamentals of the markets were bullish. So we are long on gas. And unfortunately, as other players, by the way, and other competitors, geopolitics became biggish suddenly because of the comments on Russian, Ukrainian story, which was not anticipated to you. So in fact, we had a bullish position based on foolish fundamentals, which we are right because we've seen the inventory is declining. So it was the right position. And this bullish position were suddenly by an advert market reversal taken back by mid-quarter to very geopolitical event. So that was difficult. And that's the way the business of our traders is quite complex, to be honest, in this type of fluid and environmental environment, because it depends on some -- we don't know what will happen tomorrow morning. So it's not -- the position was perfectly right. And so we were supportive of it. Certainly, you have some -- so we experienced some fuel losses in February, which were reversal. But globally speaking, the LNG trading was good, was strong. It was most the gas trading, which was hit. So I'm fine. We took a decision recently by the way, we have a new leader for all this gas trading, which wants to make some ID, so I'm supportive. And so between 5.5% and 6%, just to clarify this guidance, and I'm maintaining it today.
Henri Patricot: Got it. Thank you.
Operator: The next question is from Martijn Rats of Morgan Stanley.
Martijn Rats: Hi, hello. I've also got two questions, if I may, which actually sort of just follow-up the question from Henri. I wanted to ask you about your thoughts on the true appetite that Europe might have for more Russian pipeline gas. So many contradictory comments indicators. It's a real market concern, but clearly, connected, talked to a lot of people. I was wondering, Patrick, what your impression is of how likely this really is, say, on the time frame of 12 months or so? I mean like multiyear view, probably all things are possible, but on a 12-month view, how likely this is really? And then secondly, perhaps a bit of a technicality, but I want to ask about the guidance for LNG price realizations for the second quarter, down to $99.5 per MBtu. I would imagine that doesn't fully capture the impact of recent spot price declines given the lag that is built into the system. If you had to think about for the third quarter, how much would that incrementally fall assuming, say, oil prices stay in [indiscernible] stays at current levels, would we see a drop below 9% to 8.5%, 8%? Is that a trajectory that we should be thinking about? Just interesting in your comments on that?
Patrick Pouyanné: Okay. This one, I think -- my view on that is to be cautious first because I'm not sure that -- I'm just observing what happens on the geopolitical scene. It doesn't see that it's easy to land between the different parties. So I'm cautious about it. And I think the market has overreacted to some news. It's a very complex situation. What I observe as well is that on one side, you have quite a lot of pressure within the trade negotiations between the US and Europe to buy more US gas, just – and that, in fact, the US LNG is obviously an obvious case to fill the gap. And I think honestly, the European authority seems to be quite inclined to please the US from this perspective, which is a good news for TotalEnergies, by the way. As you know, we are quite involved in that business of US between -- of LNG between the US and Europe. So I see that as a good support for all our business. And I think on the other side, politically, the Europeans do not -- are not so happy with what happens on the other side. You've seen that when I look to the program of the new coalition in Germany, I don't see a lot of support for a lot of Russian pipe gas in that platform on the contrary. And I know there are departments, they are working on a platform to -- which is out to exit Russian fossil fuels, because of security of supply. In fact, today -- in fact, it's interesting to observe that European, I would say, narrative on energy is going from green to security of supply. There was a conference in London with all the leaders speaking about security of supply, where renewables could contribute. But from this perspective, I don't see much stage today politically to take a lot of Russian gas. So, I think it's more U.S. LNG, which will come again Russian gas in Europe. That's my comments. And over the next 12 months, I can even confirm that I will be very surprised to see so sort of Russia gas coming to Europe in the next 12 months. It will take time all that before. It's also a matter of trust between customers and producers in fact, fundamentally to rebuild the trust. On the price, okay, look, if we gave you a figure, 9 to 9.5 when we gave the guidance, when you are making the math, we have some cautiousness. So, if there is $0.50, it's because of the spot price because on the -- I would say, on the long-term contracts related to Brent, generally, you have two months of time lag. So, it's quite easy to anticipate what will happen on this contract for the next quarter. On the spot, of course, not sure. So this is why we gave you 9% to 9.5%. It's different to a bearish one on the spot, which was, I think, around something like begin 9 and 12, I would say, that we tested between 9 and 12 European gas. Today, we are between 10 and 11. So, you should be in the middle of the range. I don't know what will happen. But first quarter, again, I'm not a magician, but it's quite clear that the lot of the oil price in the second quarter, which is today what April will impact July. That's quite clear. Again, if you want me -- I don't have the math in front of me and it's uncertain what you propose as a range is probably quite reasonable. But again, let's -- it's very difficult today, again, these markets are shipper through it. Maybe tomorrow, the tariff will disappear and certainly the oil price will jump. So let's see.
Martijn Rats: Let's all hope for that. Wonderful. Thank you.
Operator: The next question is from Lucas Herrmann of Exane BNP Paribas.
Lucas Herrmann: Yes, thanks very much. A couple of quick questions, if I might. The first, just going back to debt, but also balance sheet and what's been going on with currencies. In fact, maybe, Patrick, I should ask you more broadly on currency and impact the question specifically was the debt that you hold a proportion of it is euro denominated. And the question simply is the impact that strengthening euro rate has had on dollar reported debt last quarter, and I guess, if currencies remain strong. We should probably expect absolute debt to see a modest uptick as well as a consequence of currency moves. But maybe talk more broadly on given the volatility we've seen in the dollar way that plays to your business? And secondly, just a quick question on cash flow and associates. J.P., where should we expect the net associate contribution to end up for the year as a whole. Clearly, there's been $400 million of profit booked in the first quarter, which was not covered by dividends. But, how do you see things for the year as a whole? What should we be modeling? That’s it. Thank you very much.
Patrick Pouyanné: Sorry, Lucas, we didn't -- the second question, I didn't catch it up. I mean as a $400 million were related to what?
Lucas Herrmann: I was just looking at the associate move, the difference between dividends received and back for the year.
Patrick Pouyanné: Yes, yes. Okay. Good. Thank you for the two questions, Lucas, and your support. The first one, debt, I will let -- I will let Jean-Pierre answering. But what can tell you on the FX. In fact, the dollar euro foreign exchange rate does not affect. The only positive impact it has its -- the dividend is expressed in euro. And when then the dollar is at $1.15 or $1.14. In fact, we lowered the burden of the dividend by equivalent of 5%, which can make something like $400 million. So it's not neutral. But the rest between the difference, in fact, when they look to the global, the cash flows and the results, -- so plus and minus are, in fact, equal. When we make the test around portfolio, we have no global impact. We have some on some businesses, of course, but globally, it's not an issue. The intact when the dollar is weak, it's better for us on the on the dividend. And of course, is by the way that our shareholders in the U.S. would not see 7% or 10% or 10% or more increase of dividend. So -- but I will let -- on the equity FS, honestly, it's just because we have some equity PAs, which are run on -- not on a quarterly basis, but on a yearly basis. So some of them are delivering their dividend by the end of the year. Some of them like Nigeria LNG, for example, they make second quarter, third quarter, a big fourth quarter, but no first quarter. So we don't have a LG. We are not -- it's not only us in control it's more the JV of this equity fits are run by Board. And so you have different, I would say, timing of releasing dividends. Of course, all interest, I can tell you, our board members are pushing to maximize that. So I'm honestly, this $400 million. I will come back, unless, of course, they are affected by the price environment and that you have lower results. But the timing -- so maybe it will not be $400 million but $300 million, but it's not -- I have no doubt that this equity IFS will deliver dividends because generally, we are alone with a single concept of maximizing the dividend release respecting, of course, the debt ratios, which may have some debt. That's the way it works. Jean-Pierre, I gave you the time to think about complex question.
Jean-Pierre Sbraire: Not to confirm you, my debt is in dollar. Because even if I issue bonds on the euro market, given that my business is in dollar, I swapped this bond into this. So my exposure to FX online date is very, very limited because of that.
Patrick Pouyanné: So in fact, I should have known the answer, but it's better expressed by the CFO, you would trust him better.
Lucas Herrmann: Okay. Thank you. That’s helpful.
Patrick Pouyanné: Thank you, Lucas.
Operator: The next question is from Paul Cheng of Scotiabank.
Paul Cheng: Thank you. Good morning, or good afternoon. Patrick, you guys signed the agreement with Egypt and Cyprus to export the gas there. Can you give us some idea of what's the timeline? What's the next step and the size of the project? Thank you.
Patrick Pouyanné: Okay. There was a big step down by -- Iana is the operator, so Claudio is better positioned than me to answer to you because the operator has and I trust and we support them. There was a good signature in January in Cairo. It was quite an achievement because we managed to have the scheme now to be able to bring the gas from Cyprus through some existing facilities, through one of the LNG plants. And in fact, the main discussion for us, the important point was to be sure that we could export the gas. And so I can tell you, even if there was one provision where some part of the gas could be delivered but on a netback to the Egyptian market. At the end, we're protected, and it will be, in fact, LNG going through an existing plant in Egypt in Namibia. So for us, and for ENI and thanks to ENI works and also the Egyptian authorities, in particular, Minister Badawi for the work he has done, the support, I think it's the optimal position to monetize this Cyprus gas. And so we are there supportive of the project. And so the next step will be for ENI, I think, to go to the FID by 2026, which is the target. So there is some technical roles, which is being down. And of course, some paperwork development plan. But for us, in fact, as TotalEnergies, we were putting this agreement as a precondition to spend any CapEx even on the engineering side. We didn't want the teams and the operator to spend some money as long as we have not secured a real political agreement between the two countries, which was supportive of an acceptable scheme. Some engineers really love to spend money to make nice design. But at the end, if you don't have the commercials, nothing is not given. So as it was a complex situation. So it's quite -- it's a good progress. We have 50% of the projects ENI being the 50%. And this progress comforters. By way, it was not to be clear, it's another project which will come. It was not feeding the growth by 2030. So maybe, by the way, the delivery. I know ENI is very good to time to market. So we'll see how long it will take. But it's something, which we could feed – will feed –will feed the growth because the scheme as we are using existing facilities is mainly subsea and the pipeline. We don't build a lot of processing facilities or no processing facilities. So we should be able to deliver the gas by 2029. So it will feed our growth of production in the future.
Paul Cheng: Okay. Second question, the US have a new rule under Gulf of America, that iron ore [indiscernible] allowed the multi-zone to be tax. Is that much of an opportunity for TotalEnergies there?
Patrick Pouyanné: Paul Cheng, I don't think we have producing -- I don't know if Oncore [ph] is producing. Oncore is producing. Yes, Oncore is producing. We have some as Jack [ph] and Oncore are producing, Jack as well I think. Jack and Oncore. And so what can we do? I don’t know. But you know again yes, Obviously, this is good role. By the way, one of the objectives we have. I said that in Houston doing [indiscernible], is to -- we are discussing with some operators to take again exploration in the US Gulf as a priority. I think it's -- there are good things. So you know we don't want to operate ourselves. So we are discussing with some other companies. But one of the idea of -- in terms of -- for the future renewal of reserves is to take again because we are happy with what we've done with Oncore with Ballymore, Ballymore -- Ballymore came on stream last week, I think, or very recently. And Chevron again is a very excellent operator in the Gulf of Mexico, so doing more in the Gulf of Mexico and exploring again is only one of the I would say, the new action plan for our exploration teams. So that will help to increase production and reserves to lower the course, so it's a good role.
Paul Cheng: Thank you.
Operator: The next question is from Christopher Kuplent of Bank of America.
Christopher Kuplent: Yes. Thank you very much. Just a quick one to follow-up on conversion, $7 billion in CFFO relative to your full year guidance, that picked up was LNG and gas trading, the farm downs that are missing and associate dividends let us know if you can point other improvements for cash conversion later in the year. And the remaining question I had was, Patrick, regarding your appetite for more renewable growth. I thought it was quite important to see at the end of March, new or tighter, even tougher net bureau targets. You are now competing against utilities that are being told to do buybacks and stop growing asset. So I wonder whether you can comment on the competitive environment in this world leaving the tariff uncertainty for one moment out of the debate and just looking at your competitors in the low-carbon space. Thank you.
Jean-Pierre Sbraire: Okay. $7 billion compared to $29 million, [indiscernible], price environment for E&P as one well has delivered more than what we were anticipating for the full year. So if they are in line with our guidance. I told that there was where the $1 billion is a liter from cash trading is new. I mentioned to you a $500 million, $5.5 billion to $6 billion, all integrated power, I'm very fine with the guidance we used more than $2 billion, $2.5 billion for year we will be there. So we are online, and there is a growth coming sometime. And the Refining & Chemicals is more challenging, to be honest, and you will observe it. Having said that, I had the good news when I was here this morning. I've seen that the European margin is up to $50 per ton. So maybe, again, we could have some good news. -- prices going down. Integration will work. And I think this is our bull. I did not mention that during my speech as the strength of company, because it's difficult to argue when you have results which are not so strong. But in fact, so you could have a sort of effect where you would have less on one side, more on the other side, $50 per ton. I hope my refineries are already full and they capture the $50 per ton this day. So I would say, again, it's not the $1 billion, which will make any difference on our global framework that we gave you in January, but you capture. Well, the issue sorry -- Chris. No. Look, on the growth, renewables, we are on the way, certainly renewables, it's integrated power. I mentioned we have normally doing an answer, but we are looking a lot also, not only 1 flexible assets, because it's an integration which makes money. In fact, and we need both. At the end, we serve customers the 24/7 power. So yes, I observe that others are more under pressure. Maybe we will be easier to capture some licenses beer we are -- that's possible. But again, our model, we are quite clear on what we will deliver. We are targeting some countries. We build on it. So I mean it's not a matter of net zero for me. It's a matter of demand. The news of 2024, when you look to the results of what happened in 2024, electricity has grown by 4% in 2024, the global electricity demand, the demand, not the [indiscernible] The supply and demand has grown by 4%, And all the strategy of the company is fundamentally driven by moving part of the company, remaining, of course, strong on Oil & Gas because -- this is the energy of today. This is where we can deliver accretive growth, et cetera, but moving part of the company to a market which offer clearly some good perspective for demand. All these tech companies, the data centers, AI is driving this increase of electricity demand. And by the way, it's good because this -- again, as I mentioned in my answer before, electricity is not linked to oil. So, it's another way as well in our company to have a certain resilience not the same upside, but it's like marketing and something. You have a resilient business. So for us, the fact that other competitors maybe have more pressure, less competition, that means access to assets might be better, easier. But we are -- it's not a matter of net or it's a matter for me and for Jean, comforting the TotalEnergies business in the future, delivering growth, and in a resilient way and in a profitable way. That's what is driven -- what are the drivers of this strategy.
Christopher Kuplent: Great. Thank you.
Operator: The next question is from Jason Gabelman of TD Cowen.
Jason Gabelman: Hey thanks for taking my question. The first one is on the integrated LNG business. And I -- it's difficult to see the benefit from the SapuraOMV acquisition quarter-over-quarter. I know you've said in the past that, that production is linked to global gas prices and given where they are, I would have expected to see a step up in earnings from that new production. So, can you just talk about kind of what that contributed within earnings if it's masked by perhaps lower trading quarter-over-quarter? And then somewhat related to that, one of your large peers noted this morning that the trading environment is a bit more difficult given the new macro risks that the market is dealing with. And I'm wondering if you're seeing that in your own oil and gas trading books and for the duration that the tariff risk kind of remains -- does just trading become a bit more difficult? Thanks.
Patrick Pouyanné: Okay. Honestly, it's -- SapuraOMV acquisition is delivering some results. Obviously, I don't have that in mind today. I mean I don't have the details. We don't give the details for asset-by-asset. It's easy to find, if you want to look to [indiscernible] one year ago and was isolated and you will find some figures. But teams can come back to you on this one, but I'm not able to -- and I think Jean-Pierre, he cannot as well. So, we are not -- we look to the global one, but it's contributive. And in fact, you will see. I mean we are working today to capitalize on this position in Malaysia to move to more assets and it's not only one asset, it's a larger story that we are trying to build, and we are willing to build today together with [indiscernible], which is a strong strategic partner of the company and we work. And so I mean that's not the point. On trading, I understand the comment. I mentioned it. I think the macro environment makes it more complex. All traders told us it's very difficult for them to the fundamentals of tomorrow, which they think could be hit suddenly by some comments or could have an impact or reverse impact. So, it's a difficult market to trade. There is some volatility, but difficult to anticipate. So it's true, but for traders, it's not the best way. It's not the easy environment. And I can only I would say, trust them. I'm trusting them. They know their business. They know what they can take the level of risk they can take. It's up to them. We are not guiding them on this one. Its for them to do it. Honestly, the oil trading has done well during this quarter. I'll remind you that the total energy trading is more trailing around assets rather on the market. So we are valorizing our assets. We have a lot of position with storages, inventories. So this is the way we trade, hedging some assets, et cetera. So I think it's -- again, the oil trading has done very well during the quarter. So I can say. And the gas trading has done well, the LNG part was very positive. Gas one only because of this reverse trend. We are in the right position, again, bullish on, it a long position, suddenly, we had to reverse it. Bearish projects because of the political comments on Russian gas, whereas, I think the market has overreacted to something, which will take time, as I mentioned. So yes, it's true. Having said that, again, I think four quarters, which was a team to deliver strong results. And so I'm not -- I mean, if I'm looking back to the guidance we gave you at the beginning of the year, what has been taken as coming from more on trading because it's not only oil gas, we have power trading, which has done well as well, which is part of Integrated Power. We are in line with the contribution of trading to our global guidance for the year.
Jason Gabelman: Great. Thanks for those answers.
Operator: The next question is from Alejandro Vigil of Santander.
Alejandro Vigil: Yes, hello Patrick and Jean-Pierre for taking my questions. Related to both questions about the downstream business. You have flagged some improvement in refining margins in the short-term, but I'm more interested in your thoughts about the new-term outlook for this division? And the second question is about marketing. We have seen some weakness in first quarter, probably just seasonality, where you can comment on that? Thank you.
Jean-Pierre Sbraire: This isn’t quite easy. People are less driving in winter than in summer. It's true in Europe. It's true very well. So in fact, there is no surprise. In fact, because we maybe -- you don't take attention, but the results of this first quarter is in line with the first quarter of 2024. Even we have lost some fuel, but it's in line, $260 million, $240 million. There is no, it’s just seasonal and then various marketing results are higher during the year, that just -- so for us, it was -- I see some comments this morning before it was not a surprise. So I'm not -- I think the marketing and services is on the contrary, a very resilient division. Generally, when we announce that we will deliver on the year 2.2 billion, 2.3 billion, 2.4 billion they deliver their cash flow. So it's less volatile than other. So it's more a question just less drivers. You don't drive as much just consumption. On the first one, Patrick will answer it.
Patrick Pouyanné: It's true, as I come back on, because it was an important announcement by the company, which was not commenced, which is we have announced we closed shutdown one cracker reamer, which is quite an important decision. When you decide to shut down a cracker is a big unit with a lot of people involved. It's true that European refining and European petrochemicals are under pressure and even from different -- the consumption is going down. The pressure from petrochemicals from other areas is quite strong, including from the US unless there are some tariffs, but also from Asia. So I think for us, it's true that we have to medium-term outlook is more to question to monitor, I would say, the decline of the market. So this pressure on the margins. And it's true that from this perspective, we contributed the restructuring of petrochemical by taking the decision that this tracker rename will be off the market by 2027. So it took three years to execute it, but we'll do it. And we are looking to that, in fact, for other assets, we know it. So this is a point, but we have to do it properly, including our social responsibility, and that's important to me.
Alejandro Vigil: Thank you.
Operator: The last question is from Henry Tarr of Berenberg.
Henry Tarr: Thanks for -- thanks for squeezing me in. My question comes back to Russia, actually. And in the event that we do see some sort of piece steel with Ukraine, how do you see your sort of interests in the country and how you might sort of look to approach that? Thank you.
Patrick Pouyanné: It will all depend on the condition of the peace deal, which I don't know today. Having said that, we have a very strong asset with Yamal Energy, which I consider as a prime asset in which we continue to work on it and which is the anchor the position. This one is a long-term asset -- for the rest, I think it's just difficult to make some forecast on geopolitics in this war so that I cannot comment more than that. I think I told you where we are.
Henry Tarr: Okay. Thanks.
Operator: And this was the last question. Mr. Pouyanné. I'll turn the call back to you.
Patrick Pouyanné: So thank you for your attention. And to all of you, I think the company, again, has very strong fundamentals on which -- which gives me a lot of comfort again to weather the storm and not to overreact. And I think through these results of the first quarter, we demonstrated some of the strengths, in particular, again, our E&P division has done well, delivering the growth, strong cash flows. This is the core of the company. Integrated power is in line and the others, we face some more difficult I would say, downstream environment, but the teams are mobilized to run the assets and to capture better margins for welcome. So thank you for your attention, and see you soon, all of you.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you for your participation. You may now disconnect.